Operator: Good morning, ladies and gentlemen. My name is Kelly and I am your conference facilitator today. I would like to welcome everyone to the Cliffs Natural Resources 2014 Fourth Quarter Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. At this time, I would like to introduce Terry Paradie, Executive Vice President, Chief Financial Officer and Treasurer.
Terry Paradie: Thanks, Kelly. I’d like to welcome everyone to this morning’s call. Together with me today, I have our Chairman and CEO, Lourenco Goncalves and our Executive Vice President, Business Development, Kelly Tompkins. As we start, let me remind you that certain comments made on today’s call will include predictive statements that are intended to be made as forward-looking within the Safe Harbor protections of the Private Securities Litigation Reform Act of 1995. Although the company believes that its forward-looking statements are based on reasonable assumptions, such statements are subject to the risks and uncertainties that could cause actual results to differ materially. Important factors that could cause results to differ materially are set forth in reports on Forms 10-K and 10-Q and news releases filed with the SEC, which are available on our website. Today’s conference call is also available and being broadcast at cliffsnaturalresources.com. At the conclusion of the call, it will be archived on the website and available for replay. We will also discuss our results, excluding certain special items. A reconciliation for Regulation G purposes can be found in our earnings release, which was published after market yesterday. At this time, I would like to discuss Cliffs’ financial performance during the fourth quarter of 2014. Due to the impact of the impairment charges and other items since the third quarter we have adopted adjusted EBITDA as our main metric as it gives us a more accurate view of our operational and financial performance. For the fourth quarter of 2014, Cliffs reported adjusted EBITDA of $297 million. This number does not include Bloom Lake, which was recently removed from our portfolio of assets. Comparing apples-to-apples, our fourth quarter EBITDA represents a sequential improvement of $30 million compared to an adjusted EBITDA of $267 million reported for the third quarter, also excluding Bloom Lake. Even more important, our core business, USIO, generated $275 million of adjusted EBITDA in the fourth quarter with a 36% EBITDA margin. In Asia-Pacific iron ore, we achieved $30 million of adjusted EBITDA during Q4 versus $46 million in the prior quarter. The APIO segment continue to be cash flow positive in Q4 despite the deterioration in the seaborne iron ore pricing and consequently our much lower realized pricing in the fourth quarter. During the fourth quarter, we announced a tender offer to purchase our public debt at steep discounts as well as a new secured notes offering. This was an opportunistic deal and was driven by our desire to pay down debt and not due to any imminent need for cash or liquidity. However, as we got closer to launch and realized that the execution would not be as interesting for Cliffs as we originally led to believe, we decided to postpone our refinancing plans until Cliffs story is better understood by the potential bond buyers. After the postponement, we used our ample liquidity to execute open market purchases of our bonds taking advantage of the steep discounts that the market gave us in December and this past January. Going forward, we will continue to be patient and disciplined in assessing opportunities to tap the capital markets. During the fourth quarter of 2014, we were able to pay down $300 million in net debt. By quarter end, Cliffs had net debt of $2.7 million with total debt of $3 billion, zero drawn on our revolving credit facility and $290 million of cash and cash equivalents. On top of this, in January, we further reduced net debt by another $100 million through bond purchases in the open market, primarily with the net proceeds from the sale of Cliffs Logan County coal and cash from operations. These actions demonstrate our capital discipline and should address any concerns about our leverage. Moreover, last week we announced the elimination of the common share dividend. That decision enhances our liquidity with additional $92 million in free cash and should help us continue to pay down debt. We also recently filed an 8-K with an amendment to our revolving credit facility, which reduces the size of the facility to $900 million with a further reduction to $750 million by the end of May. I would like to point out that this reduction in size was not forced upon us by the banks. As a matter of fact, the capacity was adjusted to reflect our smaller global footprint and our changed mindset with respect to capital allocation. I will remind you that most – that the most we have ever drawn on this facility was $550 million and that was in the prior era of heavy growth and CapEx spend. I will also point out that as part of our proposed refinancing last quarter, our new borrowing structure would have included an asset based backed lending facility that would have likely had a capacity of $500 million to $550 million. Despite the deal not going through, this is still the direction we are headed capital structure wise. During the fourth quarter, we decreased our capital spending by $69 million or 57% to $51 million when compared to the fourth quarter in 2013. The reduction was mainly attributable to the exit of our Eastern Canadian operations. For this year, Cliffs’ full year 2015 CapEx budget is anticipated to be in the range of $125 million to $150 million. Our fourth quarter recurring SG&A expenses were $39 million and the full year 2014 recurring SG&A was about $165 million. We continue to reduce staffing, reduce the use of outside services and consolidate office space at our corporate headquarters. Our planned SG&A will be reduced further by 18% to $140 million in 2015. With that I would like to turn the call over to our Chairman and CEO, Lourenco Goncalves. Lourenco?
Lourenco Goncalves: Thanks Terry and thanks to everyone joining us this morning. Next Saturday, I will complete 6 months on the job and the fourth quarter of 2014 was my first full quarter as Cliffs’ CEO. Q4 was a truly remarkable quarter for Cliffs in which we accomplished some very important things. First, we paid down a substantial amount of debt. Second, we lowered our costs beyond even the most optimistic expectations. Third, our U.S. iron ore business generated $275 million of EBITDA and 36% of EBITDA margin. Fourth, we sold Logan County coal. And fifth, last but not least, we resolved Bloom Lake. As Terry reported earlier, we continued to make consistent progress in reducing our debt. Going forward the elimination of the common share dividend should allow us to further pay down debt. This accelerated debt reduction program is a more effective method to protect our shareholders than continuing with quarterly dividend. As I informed all of you during our Q3 conference call, I proposed to the Board to keep the $0.15 December quarterly dividend on the common shares. And as expected the Board approved that dividend payment. The rationale for keeping the dividend in place last quarter was simple. First, we thought it would provide some support for the share price, while we got investors comfortable with Cliffs’ new U.S. centered strategic direction. Second, we have then and still have today the liquidity to pay the quarterly dividend. Our liquidity is not the issue now, nor do we anticipate any issues affecting our liquidity in the foreseeable future. The primary issue is that despite all of the decisive moves we have made to reshape the company as a pure U.S. player and to take Cliffs out of the iron trade with China, the short thesis gained momentum and the quarterly dividend was not supporting the share price. As a consequence, we, as a Board, decided that was in the best interest of our shareholders to no longer pay a quarterly dividend to the common shares and instead apply the cash to continue our accelerated debt reduction program successfully implemented in Q4. Back to what we have been doing at Cliffs, the company is a lot more rigorous today in our capital allocation than ever before. For your comparison, Cliffs has spent $1.1 billion in CapEx in 2012 and another $862 million in 2013 mainly to fund the Bloom Lake mine. Now, that we no longer have Bloom Lake to consume our precious capital, we expect to allocate less than $150 million in CapEx for the entire company in 2015. I continue to be impressed with how much our operators have been able to cut from our budget while maintaining extremely productive, safe and environmentally compliant mines. Let’s now move on to our business segment highlights starting with the Asia-Pacific iron ore. For the 2014 full year, Asia-Pacific iron ore achieved record production of 11.4 million tons. Only the low cost producers will stay in business in Australia. And our Koolyanobbing mine is one of them. Due to the severe cost-cutting initiatives implemented in our Australian business, APIO continues to generate good EBITDA. For the fourth quarter of 2014, our cash production cost was $43 per ton. This is a 25% cost reduction or a $15 per ton cost reduction over Q4 2013 when the cash production cost was $58 per ton and a $10 per ton cost reduction sequentially from Q3 2014 when our cash production cost was $53 per ton. Just to reiterate our strategy for our APIO business, we don’t have to sell the Koolyanobbing mine, even though we have no plans to continue in Australia beyond the end of the remaining five years of mine life. The total CapEx necessary during these five years is only $50 million and then we will completely exit the Australia-China trades. In the meantime, we are totally confident that our Koolyanobbing mine is as good as or better than the major global iron ore producers due to their massive capital needs, a need our Australian operations does not have. The intense depreciation of the Aussie dollar against the U.S. dollar has helped lower the production and operating costs of all Australian iron ore producers, including our Cliffs’ Koolyanobbing mine. That will continue to positively impact our APIO results going forward as the Australians have a very little to do at this time beyond continuing to manipulate their currency. Despite of that, we are already seeing layoffs and mines shutting down throughout the entire Australia iron ore mining landscape. The consequence of the glut promoted by the majors will be seen for several years. And we are happy that we are strategically removing Cliffs from the seaborne trade of iron ore in the near future. In the meantime, with no Canadian shipments into the seaborne mine, Koolyanobbing is our only direct exposure to the IODEX and we are comfortable with our cost structure and our ability to survive in Australia through the end of the life of mine. Next, North American Coal, for the second quarter in a row, our North American Coal team met its EBITDA neutral target reporting an adjusted EBITDA of positive $4 million. Cash production costs for North American Coal was $57 per ton in Q4. This is a big accomplishment, especially when you factor in how a year prior the cash production cost for North American Coal was as high as $82 per ton in Q4 2013. Our operational team in coal has been cutting costs and operating extremely well despite the persistently depressed met coal pricing environment and the fact that a portion of the business has been sold and the rest maybe sold as well. The sale of Logan County Coal generated a $174 million in cash and on top of that gave us a meaningful tax benefit to cash flow. For our remaining two coal mines, Pinnacle in West Virginia and Oak Grove in Alabama, we continue to be open to selling these assets if the value proposition is right. While we continue to operate these coal mines, we should not consume much CapEx and the business should remain EBITDA neutral. We will maintain the business to meet our very important safety and environmental requirements as well as our permission to operate commitments and basic maintenance expenses. Now, let’s discuss Bloom Lake. The fate of Bloom Lake was resolved in November when we announced that one of the three steel mills we were in discussions with was not able to make the equity investment we were seeking within the compressed timeframe we had proposed. Last week, we announced that Bloom Lake Group, which is essentially the various legal entities that hold the mine related assets and liabilities commenced restructuring proceedings under the Companies’ Creditors Arrangement Act in Canada, also known as CCAA. Over the past two months, we have worked with several potential interested parties and were approached by the provincial government through Investissement Quebec to sell these assets and liabilities outside of CCAA. After considering several deal proposals, we concluded that the best way to proceed with our exit strategy is to restructure the business through CCAA. We believe the CCAA proceeding will ultimately result in a sale of all or substantially all of the assets. When we made the announcement in November, we noted that the liabilities associated with the exit of Bloom Lake were $650 million to $700 million assuming no mitigation of these liabilities. However, that has changed with the CCAA filing. As of the date of the filing, the Boom Lake Group has been effectively ring fenced. Therefore, Cliffs Natural Resources no longer has any obligation to fund these free filing liabilities. Let me make it clear, the liabilities associated with the exit of Bloom Lake will actually be funded by the cash on hand and the Bloom Lake Group and by the proceeds realized from the sale of assets of the Bloom Lake Group under the CCAA process and not from cash coming from Cliffs Natural Resources. To simplify, the previous $650 million, $700 million figure now equals zero. Kelly Tompkins and I will be happy to address your questions related to Bloom Lake in the Q&A session. The Logan County Coal sale and the Bloom Lake CCAA are very important steps in executing our strategy to transform Cliffs into a stronger pure-play U.S. iron ore supplier. As I have stated several times, our new Cliffs is a differentiated mining company and it should be seen as a proxy for the U.S. economy, which is a lot more resilient than any other. Even more important, the fluctuations of the commoditized price of seaborne iron ore have a limited impact on us largely due to the structure of our USIO contracts and the value-added products supplied by our U.S. pellet plants to our domestic clients. At this time, let’s talk about our core business, U.S. iron ore. The very first thing I would like to point out is our EBITDA and our EBITDA margin in USIO. For the fourth quarter, USIO adjusted EBITDA was $275 million and the EBITDA margin was 36%. Our average price realization for the fourth quarter was $99 per ton. That compares with our price realization of $101 per ton during Q3 2014, a quarter that also produced a strong EBITDA of $249 million and the same EBITDA margin of 36%. Now, I ask you how can that be for Cliffs during a turbulent 6 months period for seaborne iron ore, in which the IODEX for fines with 62% iron ore content delivered to Qingdao went from $98 in July down to $66 in December. The answer is three quotes. First, in the U.S., we do not sell iron ore fines. We sell a value-added product called pellets. Second, our contracts are long-term and don’t reset as some outsiders insist to say. And third, Qingdao is in China, not in United States. As we continue to implement our strategy and refocus the company in our profitable and stable U.S. iron ore business, we believe that our future ability to make money should be primarily compared to the profitability of the other participants of the U.S. supply chain, such as the U.S. steel mills and U.S. service centers, which like Cliffs does, primarily serve the U.S. market and U.S. customers. Cliffs’ business model is far more connected to the fundamentals of the U.S. economy and to the domestic end markets for value-added steel than to the price of iron ore in China. Our participation in the international seaborne market of iron ore is now limited to APIO only. And even if we never sell APIO, it will no longer exist in less than five years. As far as our U.S. based customers, we now have satisfied clients, a lot more than they have been in a very long time. This is very visible when we compare the huge difference between the tonnages of pellets shipped in Q4 2013 and in Q4 2014. The U.S. mills recognized what we have been doing to take care of their needs. We have recalibrated our U.S. iron ore business and we have focused our attention back to our core customers. If our American customers make money, then we make money. Also, the breakeven cost of any competitor trying to enter into this market from Brazil or from Eastern Canada is prohibited. These two barriers, cost and quality, are the main reasons why Cliffs has survived for more than 160 years. That being said, the supply agreements we have with our clients are and should continue to be mutually beneficial, stable long-term contracts that shield all of us from unnecessary volatility. All of us need to manage and plan for a level of certainty in our businesses. Here in United States, we should keep the long-term view that brought us all here where we are and preserve the long-term viability of each one of our core dependent businesses. As for new supply in the Great Lakes, we continue to closely monitor progress on this front, but ultimately believe that economics and the proven quality of our value-added product will prevail. In addition in order to be considered a real threat for at least a credible competitor, any new entrant must become a reliable producer and supplier of pellets at Cliffs high quality level by next year 2016. We believe the value our customers place in our pellet quality and reliability of supply will more or less take care of the situation by itself. To the ones concerned about Cliffs’ commercial contract negotiations, let me tell you, your fears are overblown. For the record prior to coming to Cliffs, I spent 10 years at Metals USA basically dealing with contract renewals and price-based competition. The steel mills were my suppliers. Compared to the dog-eat-dog environment of the service center business in the United States, selling and shipping pellets to the steel mills is a lot less complicated from a business or contract standpoints. We are taking all the necessary actions to get Cliffs on a consistently profitable path. With the full support of my fellow board members, we are executing a methodical plan to fortify the foundation of our U.S. iron ore business as well as streamline our portfolio of our assets. We have the discipline, the will power and my full commitment to get the plan completely implemented. I know that you will take time and I actually told you that last time we spoke in October during our Q3 investors conference call, but I knew that when I decided to come to Cliffs through a very unusual path, through the vote of Cliffs shareholders. Had we not been elected by the shareholders last year, this great American company would have continued to be plagued by denial and inaction and Cliffs’ future would not be a bright one. Therefore, I would like to one more time reassure all investors both long and short, that I will be here until the job is completely and successfully done, no matter how much time and effort it takes. In closing my prepared remarks, we know exactly what the CEO and the management team can control such as production levels, CapEx or number of employees, even the timing and scope of a CCAA filing we can control. What we cannot control is the day-to-day behavior of the stock price. We can only do so much to educate investors, but there’s still several things beyond our control may affect the stock price everyday. That includes wrong conclusions about our liquidity going forward. In case these investors fail to appreciate the meaningful positive impact to our cash flow of the tax benefits we will enjoy in 2015 as a consequence of the actions we have taken during the last 6 months. Even the investors that are long and holding the stock have a lot more control over the share price than we do when they cave in and sell their shares at extremely low prices or even when some of these loans, not all of them allow their shares to be bought by other investors short in the stock. Please think about that. Another thing we do not control is when we will be contemplated with reports like the one issued by Standard & Poor’s on Friday after markets closed. One trading day ahead of the release of our annual results and electing to reveal our credit rating we doubt having the benefit of our earnings press release issued yesterday or the information they could have obtained from today’s conference call. However, after the window opens following this call, if our bond holders offer our bonds for sale at discounts to par, you make no mistake. We will use our liquidity to continue to act as a clearing house to acquire these bonds. And we will continue to execute our accelerated debt reduction program. That execution we do control. And last but not least we still have that gun on the nightstand. The stock buyback of $200 million authorized by the Board should be seen as what it is an insurance policy at hand. The timing of the deployment of the stock buyback we definitely control. We have surely covered a lot on this call already and very much look forward to answering any questions you may have. With that I will turn it over to the operator to direct the Q&A part of the call. Kelly?
Operator: [Operator Instructions] Your first question comes from the line of Michael Gambardella from JPMorgan. Your line is open.
Michael Gambardella: Good morning, Lourenco and congratulations on the good work in a very tough environment in the last 6 months. A couple of questions though when you mentioned about the possibility of new capacity coming into the marketplace and that would have to be ready by 2016, are you referring to the fact that your ArcelorMittal contract comes due in 2016 and if you were to renegotiate that there would basically be very little tons available to the marketplace for new competitors?
Terry Paradie: That’s exactly right, Mike. And first of all thank you very much for your kind words. Yes, I am referring to the fact that our first contract to go up to renewal is our – one of our contracts with ArcelorMittal and that will happen this December of 2016. Until December 2016 we will have no renegotiations, no reset, no changes in any of our contracts. And each one of these contracts have yearly nominations tonnages tied to the contract letter and there is no room for Arcelor as long as they don’t – the mills don’t change their production capacity, there is no room for new entrants in the marketplace anytime before the renewal of the contract. However, we are dealing with pellets in a very stable and predictable self contained U.S. domestic market. I don’t believe that any spot seller of pellets or new entrants or any pellet plant that would be ramping up and that just in quality would have any chance to succeed before we renegotiate any contracts in this market, that’s my point.
Michael Gambardella: Great. And the second question, using today’s spot price on seaborne pricing and adding to it the pellet premium in today’s market and the transportation for say a Brazilian producer like Vale to move the product into the Midwest market with all the transportation, what would the landed price be of that product right now to a Midwest consumer?
Lourenco Goncalves: We believe that, that number would be north of $100 per ton, just to breakeven. And we are probably right, because they wanted to just mention, has been trying or not has been, but in the past tried hard to sell in the United States and failed. So, we don’t believe that anything has changed for the better.
Michael Gambardella: If you took the spot price of seaborne today and added to it the conversion costs for pellets and then added to that the transportation costs to get it into the Great Lakes, what would that be?
Lourenco Goncalves: Yes, that’s the number I get to, north of $100.
Michael Gambardella: North, yes north of $100, okay. And a final question, could you – you are cutting your SG&A by about a third you are forecasting for 2015 by $70 million, what are the major components of that $70 million cost reduction?
Lourenco Goncalves: In SG&A?
Michael Gambardella: In SG&A.
Lourenco Goncalves: Is what you are asking? I will let Terry answer this one. Go ahead, Terry.
Terry Paradie: Yes, Mike, the majority of the costs in there are employee-related. We have done a lot with reducing our headcount, especially at our corporate headquarters in Cleveland. We have cut down to two floors here in Cleveland. We were at five there in prior years. In addition to that, we are really doing a lot of work around looking at our outside service spend and reducing the cost associated with outside services and making sure that we are very efficient with our spending from an SG&A standpoint, because that’s all really what we have control over.
Michael Gambardella: So, they are fairly certain cost reductions for the upcoming year?
Lourenco Goncalves: Absolutely. And if you, Mike, I believe that your question ties back to our cash generation in 2015 and our ability to service our debt and we stay in good shape. It’s not just debt. We are not done with a lot of things. We are here for six months. So, there is a lot going on at this point and we will continue to cut cost in place that to be honest with you I haven’t addressed, because we have been doing a lot of things at the same time, but my day has only 24 hours and my team has been worked relentless, but we haven’t been able to address all the things we need to address. I will give an example. We are planning to cut another $5 per ton in our cost in U.S. iron ore, times 22 million tons, we are talking more than $100 million in cost-cutting for 2015 for the entire year. It’s not going to have quarter-over-quarter, but for the entire year, 2015. Another thing that people are not really paying any attention so far is that we wrote down a lot of assets. We had a lot of things done in 2014 that will give us the full benefit in 2015. It is a cash tax benefit that we are going to enjoy. So, this will all play for 2015. We are planning for the long run. We are not doing anything short-term. We are not just doing for the quarter. We are doing for the long-term survival of this great company.
Michael Gambardella: Thanks, Lourenco. Keep up the good work.
Lourenco Goncalves: Thank you very much. I appreciate it.
Operator: Your next question comes from the line of Aldo Mazzaferro from Macquarie. Your line is open.
Aldo Mazzaferro: Hi, good morning.
Lourenco Goncalves: Good morning, Aldo.
Aldo Mazzaferro: Lourenco, a few questions on the cost side. On the SG&A, you have got $39 million on a run-rate in the fourth quarter, which I think would annualize out to about $156 million if you ran forward. So, you are planning to cut about $16 million or so in the full year. Is that a target that could be moved a little more aggressively or is that something you think is locked in stone at this point?
Terry Paradie: Yes, this is Terry, Aldo. Yes, I think we have the opportunity to be very aggressive. We are currently working on cost reduction efforts with respect to – the size of our business is changing. You look at our strategy as we exited Eastern Canada. We have sold portions of our coal business. We continue to refine the efforts we do in Australia. We will continue to stay focused on having the right size of organization and obviously outside service spend associated with the new size of our business as we become more USIO focused. So, that is our focus today. And we are confident that we can get to the $140 million for the full year – fiscal year ‘15.
Aldo Mazzaferro: Great. And then – and if you look at production costs at the mines, especially U.S. iron ore, some of the – I was wondering if you have noticed any reduction yet in things like fuel costs that might reflect lower diesel or any other operating costs that might be coming down or could still come down further from those items?
Terry Paradie: Yes. Aldo, we are looking at – our energy costs represents about a third of our total costs. So, what you have seen with diesel, which only is about 5% of our production costs. Natural gas, electricity, also we use some coal from a furnace standpoint. We are looking at some reduction for this upcoming year to the tune of $2 to $3, which has been baked into our production cost guidance for the year. So, we are seeing the impact of that for 2015.
Aldo Mazzaferro: Right. And thanks, Terry. I got two other quick ones if you could. Is there anything…
Terry Paradie: Please go ahead.
Aldo Mazzaferro: I know you discontinued Bloom Lake as of the end of fourth quarter, would that imply that there is nothing on the balance sheet now from Bloom Lake liabilities or is there anything on there still remaining?
Terry Paradie: I will let Kelly Tompkins answer that one. Go ahead, Kelly.
Kelly Tompkins: Well, the balance sheet of the Bloom Lake Group reflects the liabilities. And as Lourenco commented at the beginning of the call, the Bloom Lake Group is now self-contained and the liabilities within that group will be covered by its cash on hand and the proceeds from asset sales. And as I think you probably saw in our 8-K that was filed, we have effectively deconsolidated Bloom Lake, which will be reflected in the first quarter results and you will see the pro forma balance sheet from that filing as well.
Terry Paradie: Just to clarify a little bit, the balance sheet you saw in our release does is a consolidated balance sheet. We will have the deconsolidation when we issue our results in the first quarter.
Aldo Mazzaferro: Great. And then if you can just tell us what your corporate accrued tax rate might be next year or this year and what the cash rate might be?
Terry Paradie: Yes. Aldo, from the standpoint of the losses that we have incurred this year our cash tax rate for the current year was pretty close to zero. We didn’t really pay a lot of de minimis tax payments. As we move forward into 2015 with some of the loss carry-forwards, we also have had to use some loss carry-backs and you will see on our balance sheet, what Lourenco alluded to, we have a pretty sizable receivable that’s due from an income tax standpoint. So, our cash taxes going into next year will be a lot lower than they have been in the past, something I would if I am modeling I’d use something less than 10% or lower.
Aldo Mazzaferro: 10% or lower and a pretty full tax rate accrued or around 30% would you say?
Terry Paradie: Yes, I think that’s from a GAAP standpoint that’s in the ballpark.
Aldo Mazzaferro: About 30% thanks. Thank you.
Lourenco Goncalves: Thanks, Aldo.
Operator: Your next question comes from the line of Kevin Cohen from Imperial Capital. Your line is open.
Kevin Cohen: Good morning and thanks for taking the questions and Lourenco and Terry congratulations on all the positive news year-to-date. A couple of items, first in terms of the tax asset that you alluded to from the CCAA filing, does that reside in Canada or is that in the U.S. and fully available to the parent?
Lourenco Goncalves: No, there is no connection with the parent. When we file CCAA, the parent is completely separated from the assets or the assets have been completely separated from the parent. So, what we – we are calling the Bloom Lake Group, Kevin, is completely self-contained, so they either have cash on hand at this point and they are not leaving at this very point, there is no need for a deep or anything like that. So, the Canadian thing is on each zone separate ring fenced, completely insulated from Cliffs Natural Resources.
Kevin Cohen: And then in terms of the prior comment, Lourenco about Bloom Lake being self-funding in terms of cash outlays and no cash outlays from the parent, does that include environmental, severance, any cost like that, is that truly entirely self-contained from the Bloom Lake Group assets, just so I am clear on that?
Lourenco Goncalves: Yes, everything, 100% self-contained within the boundaries of the Bloom Lake Group or the CCAA, under the control of the monitor and the overseeing of the court.
Kevin Cohen: And then just two last real quick questions, any granularity in terms of when Bloom Lake might be resolved in terms of timing on that?
Lourenco Goncalves: We believe that we are going to sell assets, not we, but the Bloom Lake Group will be selling their assets during the course of 2015. So, we will have some tail to deal with after that, but all things being considered, we are very confident that the Bloom Lake Group will be done with the CCAA within the calendar 2015.
Kevin Cohen: And then the last question probably a little bit more of a Terry question, can the company disclose the current outstanding balances of the bonds outstanding?
Terry Paradie: At this point in time, I think we have said our net debt was from $2.6 billion. We will give you more disclosure when we move into the first quarter result from each of the tranches.
Kevin Cohen: Great, thanks for taking all the questions and best of luck.
Lourenco Goncalves: Appreciate it, Kevin. Thanks.
Operator: Your next question comes from the line of Sal Tharani from Goldman Sachs. Your line is open.
Sal Tharani: Good morning.
Lourenco Goncalves: Good morning, Sal.
Sal Tharani: Couple of questions. You had – you are cutting the USIO costs and you had mentioned further cuts in the past over the next 2 years, I was just wondering is there any CapEx involved if you want to go beyond that $4 or $5 you are doing in ‘15?
Lourenco Goncalves: We believe that the CapEx for USIO for the entire year will be less than $100 million and of course it’s included in the CapEx figure that Terry Paradie informed during his prepared remarks, but USIO alone is less than $100 million. Of course, that’s majority.
Sal Tharani: And you don’t need any additional – I am sorry, you don’t need any additional CapEx if you want to cut further cost, any further equipment availability or anything like that?
Lourenco Goncalves: No, it’s all in.
Sal Tharani: Okay. And I mean, obviously it’s a very tough challenging time, but not only for the traditional iron ore producer, but some of the alternative guys in the Mesabi region, like the magnetation is also having some issues. I was just wondering if there is enough availability in case something, one of those facilities do not workout in terms of the economics at your place to fulfill those orders if need to be over the next year or so?
Lourenco Goncalves: Well, in the past, there was no magnetation. Cliffs was always able to take care of business. So that will be the future. I am not saying that if, I am saying when.
Sal Tharani: Okay. And last question on the Canadian restructuring, does it also take care of the Wisco contract or you will have to still fulfill the Wisco iron ore contract?
Lourenco Goncalves: The Wisco contract was also part of the Bloom Lake Group. So, right now, Mr. [indiscernible] should be dealing with the monitor in Canada, but there is no more iron ore there. So there is a problem there.
Sal Tharani: Okay, thank you very much.
Lourenco Goncalves: You are very welcome.
Operator: Your next question comes from the line of Nathan Littlewood from Credit Suisse. Your line is open.
Nathan Littlewood: Good morning, guys. Thanks for the opportunity and congrats again on a really good result. I just had a couple of clarifications on your guidance, starting on the U.S. iron ore business. I guess, I am surprised to see the volume expectations there essentially flat year-on-year given what’s going on with the U.S. blast furnace industry at the moment, sort of tidal wave of steel imports coming into the country. I was wondering if you could talk a little bit about some of the expectations you have baked in here with respect to sort of blast furnace utilization? Also one of your customers, Essar Algoma had talked about a potential restart of one of their mills this year. Has that been baked into your guidance? And just to finish off the U.S. part on pricing, could you talk a little bit about some of the other assumptions that you have made outside of the iron ore price? I understand that you don’t have high leverage to the seaborne market directly, but indirectly, global iron ore prices do impact U.S. HRC prices and some of your contracts do link to drivers such as HRC and steel utilization. So, just a little more color on some of the assumptions would be useful?
Lourenco Goncalves: I will be glad, Nathan, and I appreciate your congratulations, especially because our earnings per share in Q4 was coincidentally exactly equal to your price target for the stock. So, even if we are trading at zero dollars, right now we are even, so $1, that’s exactly our EPS and that’s exactly our price target. So it’s fixed highly above the precision of your model and your conclusion. But back to your questions one by one, imports, the United States has been flooded with imports. And that’s not new stuff. The new stuff is that in debts and the intensity of the avalanche of the imports reaching this country. And these will be taken care of as we have done in the past, you make no mistake. We are going to defend our turf, and we are going to use the trade laws every single weapon that’s in our disposal to protect what is ours. But on the other hand you got to discount the fact that some of the imports don’t even affect Cliffs, because some of these imports are long products that are produced by mini-mills and mini-mills by and large use the scrap they don’t use iron ore. So the impact of imports is a lot less than it looks like at first glance. On the other hand if the domestic integrated blast furnace mills reduce production some things that they haven’t done yet, and we have to adjust in order to satisfy their current needs, we are partners, we will work with them. So imports are a potential problem. We are watching carefully and we are getting ready to act. And we are going to be acting in complete sync with our clients and our partners. Then the second was about the Essar Algoma I don’t really remember exactly what you said about Essar Algoma, if could help me.
Nathan Littlewood: The second furnace coming on?
Lourenco Goncalves: The second furnace coming on, if they come with the second furnace they are going to more pellets and we are going to be able to supply if they need more pellets. We are going to have to discuss. But we will certainly take care of business with the Essar Algoma. And the third was about the indirect impact of the IODEX in the U.S. iron ore, is that correct Nathan.
Nathan Littlewood: Look Lourenco, the color is all very useful, but I guess what I was trying to get to was whether or not you could share with us some of your assumptions about is Essar Algoma included or excluded from that territory. Secondly what U.S. HRC price assumption is your pricing guidance based upon and also what level of U.S. steel industry utilization have you assumed in this volume guidance as well?
Lourenco Goncalves: Well, the utilization that we use is the current level around 77%. Then the Essar Algoma second blast furnace is not included in the 22 million tons.
Terry Paradie: And the hot-band pricing assumption we are using is in the range of $575 to $600?
Nathan Littlewood: Terrific, that’s all very useful guys. Just one other question is on APAC, as I am sure the lump premium has shot up recently, we are now at about sort of $27 or $28 a ton I think, freight rates have also capitulated over the last little while, both of which are very, very favorable to the realized pricing of that APAC business. So again I was just wondering if you could clarify for us what assumptions you have baked in for freight rates and the lump premium into that APAC selling price?
Lourenco Goncalves: It’s a lot more than we had in the past number one, because freight rates have been going down. Second thing, we have increased the participation of CFR sales instead of F.O.B. And that is benefiting our price realization. And last but not the least we are moving towards selling more separate cargos between fines and lump. We used to sell a lot of combined cargoes and now we are selling more of lump cargoes separate from fines cargo. So we are playing in all three things in order to improve our price realization in Asia-Pacific.
Nathan Littlewood: Okay, that all sounds like very smart things to be doing, but can you tell us what the lump premium and freight numbers that you have assumed are, because at the end of the day I mean both will have a pretty big impact on your EBITDA regardless of how you are selling the ore?
Lourenco Goncalves: Well, we don’t have that break down because we currently sell – we still sell lot of combined cargoes. And then we don’t have the number you are asking for. As we start to sell more and more lump cargoes separate from fine cargos then we will have this number a little more clear.
Nathan Littlewood: No problem.
Terry Paradie: You would see on the outlook box that you have the realized pricing for APIO. So you can take the plus and you can probably use some assumptions that you see in the marketplace for freight and lump premium. Then you got to look at discounts and moisture and things of that nature and typically nets down to a realized pricing. And you could probably come up with the triangulation on what we are using based on that.
Nathan Littlewood: Yes. Sure, I hear you Terry. I guess my concern was that over the course of the year, most of us are expecting that lump premiums will come down and that oil and freight rates would probably go up, so I was just a little worried that the translation from 62 IODEX into those A-PAC ASPs much sort of move against you a little bit over the course year, that’s kind of what I was getting at. But now I look forward to further updates. Again, congrats guys and I will turn it over.
Lourenco Goncalves: Thank you, Nathan.
Operator: Your next question comes from the line of Evan Kurtz of Morgan Stanley. Your line is open.
Evan Kurtz: Hi, good morning guys.
Lourenco Goncalves: Good morning.
Terry Paradie: Good morning.
Evan Kurtz: So first, just wanted to try to clarify I mean this question for Terry, some of the cash tax benefits that you are going to see in 2015, if you can just quantify what is carry forwards versus carry backs, I think they will be really helpful?
Terry Paradie: Yes. Evan I think probably the easiest thing to do is probably move to our balance sheet and our press release. You can see there is an income tax receivable of $261 million. And the majority of that really is associated with carry backs with the items we noted in our press release with the impairment, the loss on sale of CLCC as well as us executing on a financial guarantee in a company note, so that generated a significant amount of cash benefit going forward for us for next year. We also have significant amount of tax NOL carry forwards associated with our AMT rate that we have a full valuation allowance but also will protect from our future cash tax rate going into 2015 and beyond.
Evan Kurtz: Okay, got it. Thanks. And then maybe just not to beat a dead horse here, but just a clarification on Bloom Lake exit costs being zero, so correct me if I am wrong, but it was my understanding that the environmental reclamation bond may have been guaranteed by the parent, so if you can’t sell the assets or Bloom Lake Group rather can’t sell the assets, would there be a different scenario where you might be on the hope for some cash if you had to actually cleanup the site in the near-term?
Terry Paradie: The answer is no, but I will let Kelly Tompkins give you a little more color.
Kelly Tompkins: Yes. I mentioned earlier Bloom Lake will fund its obligations by its cash on hand and asset proceed sales and after we conclude the sale of assets process we move into a liquidation mode which is yet another form of selling residual assets. And then ultimately move to abandonment which essentially those obligations like the environmental obligation we revert to the province because we would be no longer operating the site and no longer involved. So it’s ultimately the answer is no that we go through the process sale liquidation and abandonment.
Evan Kurtz: Got it, thanks. And just one last quick one if I may on CapEx pretty surprised to see the CapEx number for 2015 come down so much, I assume like you weren’t spending any CapEx on Canada in the fourth quarter and your run rate annualized with closer to $200 million or so, so you are coming down pretty significantly even from that. So I was just kind of wondered what some of the big pieces are that outside of Canada that are moving that number so much and how sustainable do you feel like you can – that number is – how many years can you maintain kind of the – that kind of midpoint of 137.5?
Lourenco Goncalves: Well, if you consider that in the longer have Canada, if you consider that I have already disclosed their total CapEx for Asia-Pacific through the end of life of mine that’s $50 million for 5 years or $10 million a year. And if you can see that we already sold Logan County Coal and we are highly confident that we are going to sell Oak Grove and Pinnacle. At the end of the day we are talking CapEx just for U.S. iron ore. And that’s the new Cliffs. So the CapEx for the new Cliffs like I replied earlier before in this call will be less than $100 million. So even the figure that was given today is a little bit in the high side if you consider just U.S. iron ore, so that will be another source. Keep in mind, Evan, the time of the $1.8 billion revolver, this is gone. This is old Cliffs. This is that Cliffs that was going to be the next Rio Tinto. We are going to be the best iron ore mining company, the most profitable, the most reliable, the most predictable in the world. We are the ones that where the Australians and the Brazilians will be bleeding like crazy. In the next couple of years, we are going to be standing tall. It’s already stupid betting against America and that’s our positioning ourselves for, to be standing tall when others will be dealing with the mistakes that they are making as we speak. That’s what we are doing.
Terry Paradie: Just to add to that, Evan, you recall from a Canada standpoint, we did produce throughout most of the year and we said last year that we had a significant amount of CapEx related to tailings. So, with that going away, that’s really a big driver of the significant decrease in 2015 from 2014 actually to the point where we have more capital allocated towards our core business of USIO from where we were last year.
Evan Kurtz: That’s helpful. Thanks guys.
Terry Paradie: Thank you.
Operator: Your next question comes from the line of Mitesh Thakkar of FBR Markets. Your line is open.
Mitesh Thakkar: Good morning and thank you guys for taking my questions and congratulations on a very good quarter and cost control.
Lourenco Goncalves: Thank you. I appreciate it, Mitesh.
Mitesh Thakkar: So, my first question is, Lourenco, on the Canadian side, with Bloom Lake into the restructuring, does it include all the other reserves which are acquired through that acquisition? And how should we think about any other Eastern Canadian ops, including Wabush going forward, any associated ongoing costs which you can help us?
Lourenco Goncalves: I will let Kelly answer that. Go ahead, Kelly.
Kelly Tompkins: Yes, Mitesh, the reserves that were acquired as part of Bloom Lake would be included in the Bloom Lake Group filing. The Wabush assets, which include the Scully mine and certain other infrastructure, were not included in the CCAA. The focus was to put, if you will, the turn a kit on the bleeding at Bloom Lake. Wabush, the liabilities there are more long-term oriented and are very manageable and we have opportunities potentially to sell assets within that portfolio as well either alongside or separate from the CCAA.
Mitesh Thakkar: Yes. So, when I really think about asset sale, I should think about those assets plus U.S. coal assets and even Asia-Pac assets, is there anything else, of course, the chromite assets too?
Kelly Tompkins: That’s right.
Mitesh Thakkar: Okay, great. And just on the USIO, Kelly, I know you haven’t provided a 2016 revenue outlook, but from the comment which Lourenco made about that the contracts are not resetting or anything like that, should we assume more like a $4 for every $10 move in iron ore prices as the sensitivity or is that something else?
Kelly Tompkins: Look, we used to supply that table with the number of dollars fluctuation around the $10 variation, but we are really pleased with that, Mitesh, with the table that we supplied at this time, because we believe that, that would be a better indication. The other one was we always received a lot of follow-up questions, especially our IR Manager, Paul Finan, regarding clarifications related to that way of providing guidance. So, we replaced that with the table with the hopes that this would facilitate your ability to make a conclusion.
Mitesh Thakkar: Yes. No, the 2015 table is excellent, actually. There is no debate about it. It’s just I was thinking if I am thinking about 2016, should I use like similar sensitivity or is it more or less?
Kelly Tompkins: The problem with 2016, Mitesh, is that 2016 is so far away and so far we moved from the reality of January – February 2015 that it’s very, very difficult to give any type of reasonable guidance about 2016.
Mitesh Thakkar: Yes.
Kelly Tompkins: I know that spreadsheet ask for that, but the realities are lot different. Think about two years ago, everyone was betting on BRICS, Brazil, Russia, India, China, which one of the letters you want to take now? None.
Mitesh Thakkar: Yes.
Kelly Tompkins: Six months ago everybody was very confident that fuel prices would continue to be extremely high and oil will be great for the foreseeable future. What about now, $50, $51 last week $44. Two years ago, Brazil would dominate the world and the iron ore projects in Brazil were all great. Now you would not bet that, that Brazil would be able to do anything with what they have right now. It keeps going. So you know what iron ore is at a very low point right now. The Australians don’t know what to do anymore. They are putting even their kangaroos for sale and the iron ore price is not going anywhere at this point and they are starting to manipulate their currency and the situation is starting to smell bad over there. So I don’t know what’s going to happen in 2016, nobody knows. So you got to plug in your spreadsheet whatever you want.
Mitesh Thakkar: Okay, thank you. I think just a follow-up on the Aussie cost, obviously came down dramatically. How should we think about the other non-cash production cash cost, sorry, production cash cost which are in the other category, which I think is mostly royalty, but is there something else flowing through that because it looks like a really low number there?
Lourenco Goncalves: Terry, please go ahead.
Terry Paradie: Yes, Mitesh. The primary driver in the non-production cash cost you see in our results are just lower royalties. The royalties are linked to the realized pricing and we’ve seen that come down and that’s why you’ve seen that come down dramatically. There’s obviously inventory movement and things like that, that impact that number as well. But what you’re seeing this year in our results is the lower royalty rate.
Mitesh Thakkar: Okay, great. Thank you very much guys and good luck. Good job on the cost again.
Lourenco Goncalves: Thank you, Mitesh. Appreciate it.
Operator: Your next question comes from the line of Sam Dubinsky of Wells Fargo. Your line is open.
Sam Dubinsky: Thanks for taking my questions. Just a follow-up to a prior question, can you disclose your sensitivity to every change in HRC pricing? Is HRC a mine now just in your 540, today, but internal projections are around 575 to 600? Then I have a follow-up.
Lourenco Goncalves: Well, thank you for saying. Thank you to taking my question – for taking my questions, but I still not answer your question because you continue to believe that you know this business better than Cliffs Natural Resources. But because I am in a good mood today, I will ask Terry Paradie to reply your question.
Terry Paradie: Yes, Sam. I think we disclosed in the past for hot-rolled pricing sensitivity for every $50 change on a full year basis is just under a $2 impact on our realized pricing and that has not changed and that sensitivity stays pretty consistent from year-to-year and you can use it in your model today.
Sam Dubinsky: Great. Thank you very much. And just a follow-up on the ArcelorMittal contract, I know there is - you guys don’t see any risk from that. But could you guys just give us an idea of how pricing on that contract compares to the corporate average?
Lourenco Goncalves: We have several contracts with ArcelorMittal, Sam. So we have contracts that have the price floors. We have other contracts that have different metrics. And we overall all blended we supplied a table that should guide your conclusion in terms of pricing. And what we do know is that at this point, we don’t have any reliable competitor. We are following the progress of the one that is pertaining that’s building a pellet plant in Minnesota and we are also – discuss with ArcelorMittal. So your fears are overblown.
Sam Dubinsky: Okay, great. And just my last question is just when should you get the income tax receivable from a cash flow perspective, the timing of that?
Lourenco Goncalves: To be throughout 2015 and through the start being able to receive soon.
Sam Dubinsky: Okay. Thank you very much for taking my questions. Good luck.
Lourenco Goncalves: Look, it’s always great to receive your questions. If you ask more questions we’ve got more answers. But you need to start calculating better your price target because our EPS was your price target. Okay. Operator, who is next.
Operator: Your next question comes from the line of Brian Yu from Citi. Your line is open.
Brian Yu: Great. And congrats guys on a pretty strong fourth quarter.
Lourenco Goncalves: Thanks, Brian.
Brian Yu: My first question is, hey, just you mentioned that at Bloom Lake Group, it will be funded by cash on hand. How much of that 291 million at the end of 4Q will be a part of the Bloom Lake Group when it’s deconsolidated?
Lourenco Goncalves: Kelly, please go ahead.
Kelly Tompkins: Yes, Brian. The Bloom Lake Group right now has about 40 million of cash on hand which we - you would expect we’ll be able to cover the care and maintenance and related required obligations through the bulk of the CCAA process supplemented by asset sales once we get into the sale process.
Brian Yu: Got it. And then the second question on a different topic is, I know in the past when prices were going up, the contracts around the collars and whatever fell outside of the collar, you had carried over an impact on the following year, they are calling it lag year adjustment. I think whilst you are in a different situation now. But is there any of this carryover impact or lag year adjustments as we look out into 2016 from what the price we’re seeing now?
Terry Paradie: Brian, this is Terry. From a contract standpoint, we don’t disclose the specific to our clients – contracts that’s why we provide the sensitivity box, any floors, collars, carryovers and things of that nature are built into our sensitivity at this point in time. I think that in the past we may have had some of those carryovers, but I don’t believe we have any of those going forward.
Brian Yu: Okay, thank you.
Lourenco Goncalves: You are welcome.
Operator: Your next question comes from the line of Tony Rizzuto from Cowen & Company. Your line is open.
Tony Rizzuto: Thank you very much. Congratulations on the success gentlemen.
Lourenco Goncalves: Thank you, Tony. Appreciate it.
Tony Rizzuto: You are welcome, Lourenco. I’ve got a – just a follow-up question on strip ratios U.S. You indicated that you are targeting $5 per ton of lower costs in 2015 and it seem like about half of that was owing to lower energy cost. But I wonder if you could talk a little bit more about what you’re doing with strip ratios there and have you been able to - in other words some strides made there in previous quarters. But just update us a little bit about strip ratios, ore grades things of that nature, haulage profiles, all those types of things in the U.S.?
Lourenco Goncalves: Yes. Look we are not high grading any mines if that is your concern.
Tony Rizzuto: No, no, no, no. I wasn’t asking that.
Lourenco Goncalves: Okay. Just trying to guess what your concerns are. We are not high grading. We are not changing anything in terms of how we mine our properties. We are going to continue to cut what we had been cutting a lot more for example in Australia because that’s where the focus was, like we did in coal because they were in surviving mode and we were really acting fast to keep that business afloat, while we were closing the sale of Logan County. And now we are doing the same thing with Pinnacle and Oak Grove. So these businesses – I was a lot more focused on the details of contracts and outsourcing and personnel and extra cost that you can take out of the picture and that’s where we’re going to continue to focus. It’s not that we haven’t done anything, we have done a lot. I believe we have probably the most comparative cost structure for all pellet plants in the world, but that’s not enough at this point in time, we need to do more and that’s the challenge that’s in front of us. And we will continue to cut cost out of the picture, but not doing anything is stupid that we will regret in the future or pay the price in the future.
Tony Rizzuto: Fully agree, Lourenco. Alright, thank you very much. Appreciate it.
Lourenco Goncalves: You are very welcome. Tony.
Operator: Your next question comes from the lien of Lucas Pipes from Brean Capital. Your line is open.
Lucas Pipes: Thank you and good morning everyone.
Lourenco Goncalves: Good morning Lucas.
Lucas Pipes: You mentioned earlier landed price of the Brazilian product north of $100 into the Midwest, and I was wondering at kind of current IODEX pricing, so based on your table there, your net back pricing call it in the low $80s or so what would your landed price into the Midwest?
Lourenco Goncalves: Do you want to reply that Terry?
Terry Paradie: Yes. For the most part, that is our landed price into the Midwest, that’s the delivered cost to our customers what we are showing in our realization tables.
Lucas Pipes: Okay, great. That’s very helpful. I appreciate that.
Lourenco Goncalves: Thank you.
Operator: Your next question comes from the line of Jeremy Sussman from Clarkson. Your line is open.
Jeremy Sussman: Yes. Hi. Thank you very much for taking my questions and I appreciate all the color you have given on the call so far.
Lourenco Goncalves: Thank you.
Jeremy Sussman: In terms of – just looking at the Asia–Pacific cost guidance, the 2015 level of $40 to $45 a ton, obviously compares much lower to the 2014 realizations, just wondering, obviously it’s a very solid number, I am just wondering if you can give us a sense of how much of the decrease is due to exchange rates and maybe a lesser extent fuel prices versus just flat out better operations?
Lourenco Goncalves: The biggest contributions, if we are going to compartmentalize the contributions, the biggest individual contribution is exchange rate, that number is $4 per ton. So, if you compare just to compare apples-with-apples, Q3 with Q4, we are talking $10, $4 were exchange rate, $6 was a – several different things that we have implemented that we can call altogether a provision on improvement. This being said, the numbers refer to Aussie dollar exchange rate of around $0.81. As of this morning, the exchange rate is $0.76. So, the Aussie dollars are – the Australians are taking no prisoners with the Aussie dollar. So the Aussie dollar will continue to help APIO, because they don’t want to help APIO, they don’t want to help BHP, they don’t want to help Rio Tinto, they want to help that lady over there, Gina or whatever. They are going to help to continue to help Fortescue. And they will believe that they will squash the Chinese producers, big mistake, but it is what it is.
Jeremy Sussman: Now, that’s very helpful. And just a quick follow-up, Lourenco, you said you are highly confident that you would be selling Oak Grove and Pinnacle and obviously the Logan County sale was a good number in a very tough environment, so I am wondering if you could just maybe elaborate a little bit on what you are seeing out there in terms of potential interest and maybe timing of Oak Grove and Pinnacle? Thank you very much.
Lourenco Goncalves: Absolutely, look at the sale of Logan County coal was very good one. And that was the one that several research analysts questioned the possibility to accomplish. Nobody was really believing that we could sell our coal asset, and we did. And the multiple is great because if you consider that we are doing with the zero EBITDA, I don’t even know how to calculate the multiple, because zero times any number will give you the multiple we are looking for. So, the enterprise value we are looking for. So, with this sale Logan County and we are in serious discussions with several potential buyers for both Pinnacle and Oak Grove separate and combined. Will any of these deals be closed at this point? I don’t know, but I am very confident that we are going to be able to do so. And conclude that – the sale both mines combined or separate, that’s all I can give at this point.
Jeremy Sussman: I appreciate all that color. Thank you very much.
Lourenco Goncalves: You’re welcome.
Operator: Your next question comes from the line of Garrett Nelson of BB&T Capital Markets. Your line is open.
Garrett Nelson: Hi, good morning, everyone.
Lourenco Goncalves: Good morning, Garrett.
Garrett Nelson: Most of my questions have been answered, but one housekeeping one for Terry. Following the recent bond repurchases what should you model in for annual interest expense?
Terry Paradie: Yes, I think from an annual interest expense if you used somewhere between to say 175 and 195 for the year. For the year you would probably be in the ballpark.
Garrett Nelson: Okay, great. And then on U.S. iron ore I know the first quarter this year hasn’t been anything like last year from a weather perspective and have the weather really impacted your shipments on the Great Lakes, but what should we be modeling for U.S. iron ore shipments in the first quarter. I am assuming up somewhat from last year, but is it going to be a lot stronger or a little bit stronger or what
Lourenco Goncalves: Look Garrett, this business is seasonal as far as shipments. Q1 will always be weaker in terms of shipments, because we are not able to ship through the lakes, no matter what. Last year you may have heard that the winter was a little worse than usual. But that’s not the point. Last year this company was unprepared for the winter, let’s face it. And this year we will be going the same direction. And through the end of Q3 through Q4 we moved 250,000 tons of pellets that were on the ground, we moved to the client, because it was accumulated since last year. So at this point we have zero tons on the ground. So we are lot more prepared. But Q1 will always be our weaker quarter in terms of shipment. Not a weaker quarter in terms of production or ability to generate profits, but from the cash flow standpoint it’s a different quarter, because we don’t ship as much, we only ship what we ship by rail not what we ship by vessel. I don’t know if Terry would like to add something based on your question.
Terry Paradie: Yes. I guess I would just look at it last year was definitely a different year for us. So I would just go back and look at our prior periods, go back to ’12 and ’13. And I think you can model out something that’s reasonable.
Garrett Nelson: Okay. And then just one final question just want to clarify that the elimination of the common stock dividend applies to that only and not the preferred dividend as well and we should still be modeling about $51 million annually for that, is that correct?
Lourenco Goncalves: Yes. The preferred dividend will go away soon. We are a year away to be done with that and we have no intention to interrupt the preferred dividend. Keep in mind we have the liquidity to pay their dividend and the comp. We cut not because the banks imposed on us. We cut because we thought it was a better use of capital to continue to buy bonds in the open market. And we eventually may buyback stock. We have as you know we have a buyback authorized and we will be happy to deploy the buyback if necessary. So we have other uses for our capital at this point. But the preferred we would like to keep because of the penalty for not paying the dividend on the preferred is not something that we want to deal with. And like I said the preferred will go away very soon.
Garrett Nelson: Okay. Thanks very much.
Lourenco Goncalves: You’re welcome. We are going to take one more question before we go, okay, operator.
Operator: Okay. Your next question comes from the line of Phil Gibbs of KeyBanc Capital. Your line is open.
Phil Gibbs: Hi, good morning. Thanks very much.
Lourenco Goncalves: Hi Phil.
Phil Gibbs: Lourenco I had a question on the cost guidance for U.S. iron ore, I think you talked about it already, but should we be thinking about a $5 decline from average levels where you were in 2014, into ’15 with energy being half of that essentially, so that’s in your guidance at this point?
Lourenco Goncalves: I am basically reiterating my guidance that I gave in Q3, we are going to target $55 per ton cash cost in 2000 – max in 2015 and $50 per ton max in 2016, that’s exactly the same guidance I gave last quarter during the Q3 conference call.
Phil Gibbs: Okay, I appreciate that. And then as far as the accounting piece, the $240 million cash on hand for the Bloom Lake sub, was any of that on the balance sheet at the end of 2014, how do we think about that?
Lourenco Goncalves: Kelly?
Kelly Tompkins: About $20 million was on hand, roughly.
Phil Gibbs: Okay, thanks much.
Lourenco Goncalves: Very welcome. So, thank you very much for joining our call. And of course, Terry Paradie and myself, will be looking forward to continue our conversations with each one of them. Have a great day. And we will talk soon. Bye now.
Operator: This concludes today’s conference call. You may now disconnect.